Operator: Good morning, ladies and gentlemen. Welcome to Cenovus Energy's Fourth Quarter and Full Year 2024 Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference is being recorded today. I would now like to turn the meeting over to Mr. Patrick Read, Vice President, Investor Relations. Please go ahead, Mr. Read.
Patrick Read: Thank you, operator. Good morning everyone and welcome to Cenovus's 2024 year end and fourth quarter results conference call. On the call this morning, our CEO, Jon McKenzie, will take you through our results. Then, we'll open the line for Jon and other members of the Cenovus management team to take your questions. Before getting started, I'll refer you to our advisories located at the end of today's news release. These describe the forward-looking information, non-GAAP measures, and oil and gas terms referred to today. They also outline the risk factors and assumptions relevant to this discussion. Additional information is available on Cenovus's annual MD&A and our most recent AIF and Form 40F. And as a reminder, all figures we referenced today on the call will be in Canadian dollars unless otherwise indicated. You can view our results@cenovus.com. For the question-and-answer portion of the call, please keep to one question with a maximum of one follow-up. You're welcome to rejoin the queue for any other follow-up questions you may have. We also ask that you hold off on any detailed modeling questions. You can follow up on those directly with our Investor Relations team after the call. I will now turn the call over to Jon. Jon, please go ahead.
Jon McKenzie: Great. Thank you, Patrick and good morning everyone. I want to start by highlighting our 2024 safety performance which as always remains core to our success and fundamental to everything we do. In 2024, Cenovus achieved its best-ever process safety performance. We reduced the number of Tier 1 and Tier 2 process safety events by 44% compared to 2023. This world-class result was achieved in a year, in which many sites operated alongside brownfield growth projects and we successfully executed four major turnarounds at Christina Lake, the Lloyd Upgrader, Lima Refinery and Rainbow Lake. On top of this, we decreased the number of lost time injuries by 23% compared to 2023. These are incredible achievements and the entire company is very proud of our operating teams who delivered these fantastic results. 2024 was a very important year for the company and we achieved many significant operational and financial milestones. In the Upstream, production grew by about 2.5% from 790,000 boe a day to 797,000 - sorry, 779,000 boe a day in 2023 to 797,000 boe per day in 2024. Included in this was a best-ever year for Oil Sands segment where production increased by about 3% year-over-year to 610,700 boe per day. This growth was fueled by production increases at Sunrise in our conventional heavy oil business as well as new annual production records at Foster Creek and Lloydminster thermal assets. Total offshore production increased to about 67,000 boe per day despite having the SeaRose off-station for all of 2024 as it underwent its life extension work. This included around 59,000 boe per day from our Asia Pacific business which continues to operate with a high level of predictability, generating approximately 1 billion of free funds flow for the fourth year in a row. In the third quarter of 2024, the company successfully completed a major turnaround at Christina Lake and returned the asset to production well ahead of schedule. Now this was also the first full year of operating our downstream assets after restarting the Toledo and Superior refineries in 2023. Our total crude throughput increased by 87,000 barrels per day year-over-year to 647,000 barrels per day in 2027. In our U.S. Refining segment, throughput increased by nearly 100,000 barrels per day to 556,000 barrels per day, which translates into full-year utilization rate of about 91%. As a result, per-unit operating costs in the U.S. Refining, excluding turnarounds decreased by 18% relative to 2023. We also completed major turnarounds in 2024 at both the Lloyd Upgrader and the Lima Refinery. Our assets have performed very well coming out of the turnarounds and we expect to see continued improved operating performance in 2025. Corporately, we generated over CAD8 billion of adjusted funds flow in 2024 and we returned about CAD3.2 billion to shareholders through dividends, share repurchases, and the redemption of preferred shares. Importantly, we also achieved our CAD4 billion net debt target in 2024. This was a significant milestone for Cenovus and, as a result, we are now paying out 100% of our excess free funds flow. So now turning to the fourth quarter results. In the quarter, we generated CAD2.3 billion of operating margin, approximately CAD1.6 billion of adjusted funds flow and about CAD125 million of free funds flow. Notably, we returned over CAD700 million to shareholders in the quarter through dividends, share buybacks, and the redemption of our Series 3 preferred shares. Our net debt at the end of the year was CAD4.6 billion, an increase of about CAD420 million from the previous quarter, reflecting a weakened Canadian dollar, a temporary build in inventory of around 22,000 barrels a day related to the timing of sales, along with the redemption of our Series 3 preferred shares. We'll continue to steward towards our net debt target of CAD4 billion while paying out excess cash flow generated to our shareholders. In the Upstream, our production was over 816,000 boe per day and was an increase of 6% quarter-over-quarter and up 1% relative to the fourth quarter of 2023. This included record quarterly production from our Oil Sands segment of 628 - or 629,000 boe per day. Oil Sands operating margin, over CAD2.3 billion in the fourth quarter was down slightly from about CAD2.5 billion in the prior quarter, partly a result of lower commodity pricing as well as a difference between production and sales. Offshore production in the fourth quarter was about 70,000 boe per day, a 6% increase from the prior quarter. And in Asia Pacific, volumes from Indonesia were up 23%, driven by increased production from our MAC field. Turning to the Downstream. In the fourth quarter, our weighted average crack spread, net of RINs averaged $8.20 per barrel, a decline of 45% compared to the third quarter. In addition, the price differential for heavy oil, which makes up a significant portion of the volumes we process, has narrowed with the startup of the TMX pipeline earlier this year. As a result, our Downstream operating margin in the fourth quarter was a shortfall of CAD396 million, which includes an inventory timing loss of CAD45 million, about CAD132 million of turnaround costs and a shortfall of CAD95 million from our non-operated refining assets. We're already seeing some signs of improvements in refined product prices this year and anticipate returning to more normalized seasonal crack spreads heading into the spring. Our focus in the Downstream continues to be an improving what is in our control and we are making real progress with a real sense of urgency. In U.S. Refining, fourth quarter throughput was 562,000 barrels per day which represents utilization rate of 92%. This was an increase of 3% quarter-over-quarter and 17% relative to the fourth quarter in 2023. Our operating expenses in U.S. Refining excluding turnaround costs were CAD10.89 per barrel in the fourth quarter. This improved 18% quarter-over-quarter and about 15% relative to the fourth quarter of 2023. Driving costs out of the business while improving our reliability and margin capture is a key focus for us and we are seeing the benefits of the work done to date and we'll see more in 2025 as we continue to drive towards more profitable operations and competitive U.S. Refining business. Canadian Refining throughput was 104,000 barrels per day which represents a utilization rate of about 97%. This was an increase of 5% quarter-over-quarter and 4% relative to the fourth quarter in the prior year. Operating expenses of $12.26% - sorry, $12.26 per barrel excluding turnarounds improved by about 13% from 2023. Since completing the upgrader turnaround in early Q3, both the upgrader and the refinery have run at or near full rates. With the next major turnaround plan for 2028, we expect to see an extended period of sustained strong operational performance from our Canadian Refining business. In the fourth quarter, we also achieved some important milestones on our major projects. We reached mechanical completion of the Narrows Lake pipeline and now have the infrastructure in place to access some of the highest-quality resource in our portfolio. We'll begin steaming the Narrows Lake pads in the spring and anticipate first production around mid-year. On the West White Rose project, we reached mechanical completion on both the concrete gravity-based structure as well as the top sides and finished the life extension work on the SeaRose FPCO. The FPSO will resume producing from the White Rose field by the end of this month. The West White Rose project is now 88% complete and we're well on our way to producing first oil in 2026. We also made significant progress on the Foster Creek optimization project which is now 64% complete and we expect first oil in early 2026 and to fully ramp up production in 2027. At Sunrise, we expect to see higher production starting in late 2025 with volumes continuing to increase through 2027. With these milestones achieved in 2024, all of our growth projects are progressing well and remain on budget and on schedule. I'd now like to touch on our outlook for 2025. In December of 2024, we outlined a budget for this year of CAD4.6 to CAD5 billion of capital investment. This includes about CAD3.2 billion of sustaining capital and CAD1.4 to CAD1.8 billion of growth capital. This marks the final year of a three-year growth investment cycle which we began in 2023. At that time, we embarked on several highly profitable, multi-year projects, which we identified as having the potential to be significant drivers of the company's free funds flow growth at a very efficient capital cost. Two years later, with a lot of work to deliver these projects now behind us, we have clear visibility bringing on about 150,000 boe per day by 2028 which will deliver growth in free funds flow for the years to come. In 2025, we'll start to see the impact of these growth plans with higher production from the startup of Narrows Lake and continued development of Sunrise in conventional heavy oil. Now this is reflected in our production guidance range of 108,000 to 145,000 boe per day, representing approximately 3% growth relative to 2024. In the Downstream, our total crude throughput guidance of 650,000 to 685,000 barrels per day also represents a 3% increase from 2024 levels. As these volumes increase, we are driving costs down and we are guiding to a year-over-year reduction in unit operating costs excluding turnarounds of 15% and 5% for the Canadian, U.S. Refining business respectively. 2025 is a much lighter year for turnaround maintenance versus 2024. We have two major turnarounds planned in 2025 at Foster Creek and the Toledo Refinery which will take place in the second quarter alongside smaller planned turnaround activities or maintenance activities at Christina Lake and Sunrise. With the conclusion of the turnarounds in the first half of the year and the growth capital spent declining later in the year, we expect to see both production and free funds flow increasing in the second half of 2025. Now in closing, we ended 2024 on a strong note operationally with record production from our Oil Sands assets and improving Downstream operational performance. We expect to build on this momentum through 2025 and deliver on the guidance we released in December while continuing to execute our major growth projects. With our disciplined capital budget low-cost structure, we are on a clear path to grow free funds flow and provide significant returns to shareholders. Now with that, we're happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Menno Hulshof from TD Securities. Please go ahead.
Menno Hulshof: Thanks and good morning, everyone. Good morning, Jon. I'll start with a question on refinery - U.S. Refinery market capture. The number for Q4 was 45%. That was marginally higher than in Q3. But if we were to assume that all refineries are running at north of, let's say, 90% to 95% utilization and that the product slate is fully optimized, where could we expect U.S. market capture to settle out?
Jon McKenzie: Yes, I would think in that kind of a normalized environment, Menno, we should be in the 70% plus range. If you look at Q4, we were coming out of turnaround in Lima at a time of high crack. And then I think the other impacts on that for the quarter were around the differential narrowing as well as the lower overall crack. But this is something that you'll see improve from us in time. But for today's world, probably 70%, 75% is probably the right number you should be using.
Menno Hulshof: Perfect. So thanks for that. And then the second question is on return of capital, the stock is, as of this morning, in the CAD21 range. I think everybody on this call would agree that there's a pretty significant discount on the valuation. Is there any way of materially accelerating buybacks over the near term? And how are you weighing that against pref redemptions? On the surface, it feels like buybacks is the higher return opportunity. But any thoughts there would be helpful.
Kam Sandhar: Good morning, Menno. It's Kam. It's a great question. I think first off where I'd start is our framework as a whole has not changed. So, we talked about last year moving to 100% excess free cash flow going back to shareholders. Clearly, you've pointed out in the fourth quarter here, we did make a decision to take out the - one of the series of prefs, CAD250 million. And I'd say that's part of our strategy kind of long term, looking at our capital structure overall. So we'll continue to assess the future prefs as to whether that's something we'll look at. But no doubt you're correct. I think we see a really good opportunity in buybacks and I would say even through the fourth quarter, despite having relatively low excess refunds flow, we did over-allocate to shareholder returns, including the prefs, and continue to buy back stock. And I think where there's opportunity, we'll keep doing that. But I think what I would highlight is, number one is, we want to make sure that we do not lean on the balance sheet in any material form to do that. I think we really want to stick to the discipline that we've created, where we want to stay as close to CAD4 billion as possible. And where there's opportunity, we'll continue to buy back stock as aggressively as we can. And I would agree with you, we see the same opportunity you do in the attractiveness of the shares where they're trading today.
Menno Hulshof: Thanks, Kam. I'll turn it back.
Kam Sandhar: Great. Thanks, Menno.
Operator: Thank you. And your next question comes from the line of Dennis Fong from CIBC World Market. Please go ahead.
Dennis Fong: Hi, good morning and thanks for taking my questions. Good morning. I would say maybe the first one, if you may. I'd like to go back to the U.S. Downstream. It seems like you are making some progress in terms of aggregate operations. Obviously, there's a refinery startup kind of through this quarter. I was hoping you could maybe outline some of the projects that you have ongoing or some of the equipment you might either be changing, replacing, or fixing some of your upcoming turnarounds that maybe gives you a little bit more confidence around continuously maintaining a higher level of utilization.
Jon McKenzie: Yes, Dennis, we're really attacking this on a number of fronts, and you highlight the reliability and the mechanical availability of the assets that we've got. But we're also tackling this in terms of how we place our products, how we source our crude, and also how we manage our unit operating costs. All those things are really tied together. But if I were going to kind of point to some big events that have really improved our performance in Q4, I would just highlight some of the things that we worked on in 2024 and I'll give you a couple examples, is, we did a lot of work at the Lloydminster Upgrader on our electricity reliability and making sure that we have reliable power coming into that plant. We did a lot of work on the Coker units during that turnaround, and we're seeing the results of that. We had a situation we were seeing cracking around the cones of the coke drums due to excess vibration there, and we were able to deal with that. As you get into the U.S. assets, there's a lot of work going on there in terms of mechanical availability and getting these assets into a condition where they compete with the independent refiners. We did a lot of work on the cat cracker during the Lima turnaround as well as the coking units and the Isom units. And those are high-value units that in the past have been less than or had a lower reliability than we would have liked. But we're seeing good reliability of those units coming out of the turnaround. As we go into the Toledo turnaround in the spring, some of the things that we are going to be doing a fair amount of work on would include the alky unit, the reformer, one of the crude units and one of the coker sets as well. So, we just kind of continue to knock these things off both inside and outside the turnaround schedule. And as we invest in these assets and get our reliability up to a place where we're happier with it, we start to see the results in unit cost, market capture, and throughput.
Dennis Fong: Fantastic. Really appreciate that color there, Jon. My next question, actually shifting focus over to West White Rose, again, looks like you've made a fair amount of progress with respect to the top side and the gravity structure. Can you talk towards your drilling plans over the next kind of 12 to 18 months for the project as well as any kind of cost controls you might have for that segment of this project?
Jon McKenzie: Yes, so the drilling is going to start right around Q4 of next year. So before we get to drilling, we've actually got to float out the top sides and mate - float at the top sides and the gravity-based structure. We've got to mate the two together, then we'll be into some commissioning work and hook up with those assets. And following that, the drilling will start. Drilling in the fourth quarter is going to result in first production, I think in the mid-first half of 2026. We'll drill about seven wells to start with. That would include your producers, your gas injectors, and the like. But all of this is designed to get us to first oil in sort of the early part of 2026.
Dennis Fong: Great. I appreciate that color as well. I'll turn it back.
Jon McKenzie: Great. Thanks, Dennis.
Operator: [Operator Instructions] Your next question comes from the line of Greg Pardy from RBC Capital Markets, Philippines. Please go ahead.
Greg Pardy: Yes, thanks. Good morning. Thanks for the detailed rundown, Jon. You've got lots of capacity on Trans Mountain. I'm just curious as to how you're sort of thinking about marketing barrels, what you've seen in terms of appetite in Asia, and then just given tariff threats and so on, whether you're seeking to move more barrels into Asia or whether it's pretty much business as usual.
Jon McKenzie: Sure, Greg. I've got Jeff with me, actually. I'll let him answer that question.
Geoff Murray: Hi, Greg. Geoff Murray. Great question. There's what we've seen and then what we think is going to occur should tariffs come to pass. What we've seen is Trans Mountain runs at capacity for contract. That makes sense given what's committed. We've seen, as we've said before, robust demand at the dock. Different grades move in different times in response to market. And we've seen broadly over time about a 50-50 split of deliveries to Asia and California. So without tariffs, that continues unabated. Should tariffs show up, that would obviously look to an economic reason for rebalancing. We expect that would obviously drive as much volume as possible through Trans Mountain, perhaps beyond the contracted capacity, provided that volume can find a home out the dock and then it would preferentially head globally rather than to California. We've seen significant inbound conversations around that. We believe that demand at the dock will be robust for folks that want to come and pick it up there and take it and move it to the best global location. So, predicting the future a little bit, should tariffs come to pass, I think we would see increased flow in that direction and a rebalancing away from the United States and the balance to head globally.
Greg Pardy: Okay, you clearly thought through this very carefully, so maybe just to stay with Asia for a minute, Indonesian gas is continuing to climb. China continues to play a really strong role. How are you thinking about the role then that Asian gas and just Asia in general plays in the portfolio? Because it's obviously very different than being an onshore producer in the Oil Sands.
Jon McKenzie: Yes, no you're right. And one of the things we really like about that Asian business, Greg, is it's a really high-margin business. And as you know, when you have fixed realizations, it's something you can count on quarter-on-quarter. So our strategy with Asia has really been to minimize the investment to this point and to continue to work with CNOOC to elongate contracts and make sure that the cash flow that we generate from this business just continues to come in the door. So I don't think too much has changed with regard to our thinking around Asia. Most of what we do is in that Block 29/26 range, as well as in the Madura Strait in Indonesia. But it's been a tremendous asset for us through time. We see really strong gas demand in Asia, which buffets those assets and then we've got a couple priorities in terms of, I mentioned making sure that the contract extensions come through in 2026, '27 as it relates to some of the gas contracts. But it really has been a tremendous asset for us through the years when we see that continuing into the future.
Greg Pardy: Terrific. Thanks for that.
Jon McKenzie: Thanks, Greg.
Operator: Thank you. And your next question comes from the line of Neil Mehta from Goldman Sachs. Please go ahead.
Neil Mehta: Yes, thanks. Thanks for all the detailed information. Just sticking with downstream. I think some of the challenges certainly has been around operations capture, some of this been kind of market conditions with the WC has being tight and the mid-con being soft. And so just your perspective relative to the Analyst Day a year ago, has your medium-term view of the mid-con evolved in any way and how much of the softness that we've seen in this market has been more seasonal and temporary?
Jon McKenzie: I don't think anything's changed in terms of how we see the mid-con market in terms of its competitive advantages. We always see the mid-con as being able to get preferenced feedstock in terms of cheaper Canadian oil. We believe as well that it's going to have cheap natural gas. And we actually see the market as being reasonably robust. But what I think we are working on [technical difficulty] beyond the obvious in terms of reliability and operations is moving products farther afield and trying to access PADD 1 in Canada with some of our products to achieve higher margins. So, we do see the additional tightness that you get in PADD 2. Some of that is seasonal. I think some of that represents additional product that wants to access that market. But we still believe long term and even medium term, this is going to be a preference to refining jurisdiction and we'll solve for those things through time. And we think about this in terms of the long term as you know Neil, we're moving somewhere around 200,000 barrels a day of heavy oil into that region today just for our refineries and our assets. And that's a - we think a good long-term mousetrap in terms of getting our value for the products there versus selling heavy oil at harder stick. You still there, Neil? And operator, you are live.
Operator: Thank you. I'll transfer you back now. Thank you. Thank you for waiting. We appreciate your patience. The Cenovus Energy fourth quarter and full year 2024 results conference call will now resume. Please go ahead.
Jon McKenzie: Neil, Are you there?
Neil Mehta: Jon?
Jon McKenzie: Operator, you can go to the next question.
Operator: Mr. Mehta, your line is open. May you please ask your question?
Neil Mehta: All right. Jon, can you hear me?
Jon McKenzie: I can hear you, Neil. Can you hear me?
Neil Mehta: Yes, I can. I didn't know if you want to round out your points on the mid-con, I think you got through most of them.
Jon McKenzie: Yes. I don't know what happened there. I apologize to be a bit of a technical issue, but all I was saying, Neil, is I think that long term we still think that this is going to be a preferenced area for refining. And it's part of our strategic plan to get oil out of Hardisty and into better net back for the company longer term. So, we have seen some challenges on getting products out of PADD 2 and into higher realization jurisdictions. And that's kind of an industry issue. But that's something I think will resolve through time.
Neil Mehta: Thanks, Jon. I think in our investor conversations one of the challenges around the story has been '24, '25 are just heavy years of capital, close to CAD5 billion. But there's a clear line of sight to that rolling in '26, '27, '28. And the fear of course is when you see that backwardation in capital investment, does that get plugged with more growth capital and then are you in a perpetual spend cycle? So how committed are you to get to this free cash flow harvest and get into the other side of the spend?
Jon McKenzie: What I would say, Neil, is as we were in a world in 2023 where we really hadn't invested in much growth in this portfolio probably since 2015, and then acquiring [indiscernible] on the back of that, they were in a very similar position. So much of the growth capital that we put forward was really stuff that was almost a no-brainer in terms of capital efficiencies and returns and making those investments at a time when the debt was close to our debt targets and at a time when we had robust free cash flow made a ton of sense for us. Having that kind of a portfolio where you have those kind of opportunities to the magnitude and the economics that we saw in 2023 is probably a little more muted in 2025, in that we probably don't have the same level of opportunities that we saw there. So what you will see is growth capital come off and it'll start to come off later this year and that'll continue into 2026 and '27 and you'll see a higher percentage of free cash flow generation and that will go back to the shareholders.
Neil Mehta: Thanks, Jon.
Jon McKenzie: Yes.
Operator: [Operator Instructions] Your next question comes from the line of John Royall from JPMorgan. Please go ahead.
John Royall: Hi, good morning. Thanks for taking my question. So my first question is on the balance sheet. Kam talked about not wanting to lean into the balance sheet for capital allocation, but your net debt has drifted up to about CAD600 million above your target at this point. I think the drivers in 4Q were pretty clear. I mean negative excess refunds and coupled with the paydown of the preferred. But should we think about you as more maintaining the 100% levels going forward or might you pull back a bit over the near term just to get back towards that CAD4 billion?
Kam Sandhar: Hi, John, it's Kam. Maybe just to expand on the comments I made earlier. So just looking at the fourth quarter for a second. So clearly in Q4 the net debt moved up a little bit from where we were in the third quarter. Some of that was driven by sort of the change in the Canadian dollar weakening relative to U.S. dollar because we do have a fair amount of U.S. dollar denominated debt. So that impacted us in Q4. We also, as Jon talked about on the call, we had some undersold production in the quarter, of which I think some of that you're going to see that reverse into cash in Q1. And then obviously we made a decision on the pref redemption. So the way I think about, as we enter this year is, we, the number one priority is always going to continue to be driving and holding the debt to that CAD4 billion. So in the short to medium term, yes, you might see us put a little bit more on the balance sheet to get us back to four. But I think the goal and the urgency is to get us to a position that we can get after share buybacks as quickly as possible. And that is still a priority for us, I think. And Jon talked a little bit about this. I think that one of the things you're going to see this year is, we do have, a bit more turnaround activity in the first half of the year. Obviously, at Foster Creek and Toledo we've got - and then comes down with that is costs and the capital is a little bit front-end weighted. So that inflection you're going to see on free cash flow is going to really start to kick in as we move into the third quarter. So the short, you'd see a little bit less buybacks. But I think we're committed to absolutely returning 100% as quickly as we can.
John Royall: Great, thank you. And then my follow-ups on the conventional business. There's actually a fair amount of growth when I look at the midpoint of guidance relative to where you finish the year in '24. And that's coming off kind of a flattish year last year. So can you just talk about your go-forward strategy in conventional and what's driving that increase this year?
Jon McKenzie: Yes, I'll speak to that, John. Conventional has been a business that we haven't really invested much in over the past number of years because one, we've been focused on debt reduction and two, with the growth capital that we've added to the portfolio over the last three years, there just hasn't been any room for conventional. But it's a portfolio that's got lots of opportunity in terms of liquids, rich gas, and investment that we can make it, pretty high return. So it's the strategy that we are pursuing to kind of drill to fill, fill our infrastructure, generate cost of capital returns at the bottom of the cycle. But we'll invest kind of CAD400 million into that business this year. And that's probably a decent go-forward rate at this point. But to offset declines and grow production for that kind of investment is something that's of high return to shareholders.
John Royall: Thank you.
Jon McKenzie: Thanks, John.
Operator: Thank you. And your next question comes from the line of Dennis Fong from CIBC World Markets. Please go ahead.
Dennis Fong: Hi, sorry, had to hop back on for one more. I had a quick question. Just really around Toledo. At the time when you closed the acquisition, it also included a multi-year product supply agreement with BP, given some of the operation of that refinery and other refineries in the region, can you talk towards some of the learnings that you had in terms of the opening slides product perspective as well as essentially how you think about that specific supply agreement and if that can change anytime in the future? Thanks.
Jon McKenzie: I'm looking at Geoff. It's a relatively immaterial part of the portfolio as it relates to the entire transaction. But Geoff, maybe you can speak to the...
Geoff Murray: Yes, Dennis, the way we think about that, as Jon said, is relatively small compared to the overall portfolio. One thing that we do like about it is that it was a means to place physical volume with a counterparty who has a physical home for it and allow us to overtime work into it or out of it based on value as we can choose to place volume differently or with that buyer. Obviously, that buyer is significant in the market and we'll just continue to evaluate that in terms of future opportunity. We sell significant volume to a really long list of people and we'll compare those sales against this opportunity as we can optimize it over time.
Dennis Fong: Great. Thank you. Appreciate that color, Geoff.
Geoff Murray: Great. Thanks, Dennis.
Operator: [Operator Instructions] Your next question comes from the line of Manav Gupta from UBS. Please go ahead.
Manav Gupta: I apologize. I got knocked out on the call when the technical difficulty happened. So if somebody has already asked it, I'm very sorry. I just wanted to understand your outlook for the heavy-light differentials and its impact on your businesses, whether it's Upstream, Downstream and even Canadian Downstream.
Jon McKenzie: Sure. Well, maybe I'll start and then I'll turn it over to Geoff. But a narrow differential is good for this company. So our exposure to the WCS-WTI differential preferences are Upstream business more than it degrades our Downstream business in terms of the flow of funds. That's kind of at a high level. But I'll turn it over to Geoff to give you a view of how we're thinking about that differential going forward.
Geoff Murray: Manav, It's Geoff. This is one of the things we spend lots of every day thinking about. Obviously, the answer to your question depends on different time frames. Right here, right now, through the balance of last year and looking forward right now, TMX is here, it's on, it's working. We said that, I don't know, Q2 of last year. The real proof in that pudding has been through winter where we have seen new five-year, I guess you would call it low discounts. And that's as a result of Trans Mountain being able to move that volume. We believe that continues to persist. And then as we look forward, I think we've long said that we believe producers will do what producers do, which is find oil. And the question is, when do we start to get towards filling up available capacity? Along with most of industry, we believe that is later this decade. And one of the things that we're working hard on right now is various different forms of future egress. And what I would say on that front is there are a number of really interesting opportunities coming to market right now that have us believing in good opportunities for the differential to stay relatively narrow over time.
Manav Gupta: Thank you so much. I'll turn it over.
Geoff Murray: Great. Thanks, Manav.
Operator: Thank you. And your next question comes from the line of Chris Barko from Calgary Herald. Please go ahead.
Chris Barko: Hi, Jon, thanks for taking my call. Good morning. Thanks for taking my call. I just wanted to ask you, Jon, about the impact of tariffs on your capital spending plans for 2025, if they come into place, and also how you think they might affect the integrated nature of your operations on both sides of the border.
Jon McKenzie: Yes, we think about that a lot, Chris. We've done a lot of work on tariffs. So the short answer to your question is, as it relates to our plans for 2025 is nothing. The tariffs will not impact our spending plans in 2025. As you know, we limit our capital spending to fairly modest levels and we're in the process of finishing off some very important projects for this company. So I don't think there's anything that would see - we would see on the tariff side that would change any of our operating plans this year or in the near future. In terms of the impact of tariffs, there's been a lot of discussion through industry, through the press on who's going to be impacted by this. And it's actually a pretty difficult question to answer, in that it affects so many of the variables that impact our cash flow and people point to the oil price as being one, and that's certainly one that could be impacted. But there's also knock-on impacts on the price of condensate, the price of natural gas, which are all inputs to our business that would probably be preference to us, as well as what happens to refining margins in the U.S. as well as FX rates. So when you kind of look at the spectrum of all the things that impact our cash flow, it's really not clear to us who's going to pay which portion of the tariff, as well as what the overall impact would be to the company. So what we're doing is we're watching the price signals very closely to get a feel for that. And if we are in a world, unfortunately, in March, where tariffs do come, we will watch those price signals and react accordingly.
Chris Barko: Just to clarify that or follow up on that, do you think that, I guess the question of who pays the tariffs, whether it's producers, refiners, or consumers, do you think that's impacted by geography as well, or do you have a sort of a clear sense on which, on what that share might be?
Jon McKenzie: Yes, Chris, we don't have a clear sense and that's why it's important to continue to watch the price signals. So, our area where we export a lot of crude into is into PADD 2, and there's been a lot of speculation on who's going to pay for which portion of the tariff. But I really think it's unclear at this point in time and hopefully, we won't have to find out.
Chris Barko: Just separately if I could sneak one last in, I wanted to know if you think the tariff situation or frankly, the upcoming federal election in Canada changes at all the likelihood of the pathway project proceeding this year.
Jon McKenzie: I don't think it changes anything, Chris. I think, what we've talked about is our willingness to move forward with the project if we can get the appropriate set of financial supports to do it. This is a project that doesn't have a return. It's an expense, and we're willing to pay something, but we need the appropriate set of supports from the federal and provincial government to make it happen.
Chris Barko: Thank you.
Jon McKenzie: Great. Thanks, Chris.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting over to Mr. Jon McKenzie. Please go ahead.
Jon McKenzie: Great. And thank you very much. We certainly appreciate your time and interest in the company this morning. Have a great day, everybody.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.